Operator: Good morning, and welcome to the Dick's Sporting Goods Third Quarter 2012 Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Anne-Marie Megela. Please go ahead. 
Anne-Marie Megela: Thank you. Good morning, and thank you for joining us to discuss our third quarter 2012 financial results. Please note that a rebroadcast of today's call will be archived on the Investor Relations portion of our website located at dickssportinggoods.com for approximately 30 days. In addition, as outlined in our press release, the dial-in replay will be available for approximately 30 days.
 In order for us to take advantage of the Safe Harbor rules, I would like to remind you that today's discussion includes some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which includes, but are not limited to, our views and expectations concerning our future results. Such statements relate to future events and expectations and involve known and unknown risk and uncertainties. Our actual results or actions may differ materially from those projected in the forward-looking statements. For a summary of risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to our periodic reports filed with the SEC, including the company's annual report on Form 10-K for the year ended January 28, 2012. We disclaim any obligation and do not intend to update these statements except as required by the securities law.
 We've also included some non-GAAP financial measures in our discussion today. Our presentation of the most directly comparable financial measures calculated in accordance with generally accepted accounting principles and related reconciliations can be found on the Investor Relations portion of our website at dickssportinggoods.com.
 Leading our call today will be Ed Stack, Chairman and Chief Executive Officer. Ed will review our third quarter financial and operating results and discuss our guidance. Joe Schmidt, our President and Chief Operating Officer, will then outline our store development program results. And after Joe's comments, Tim Kullman, our Executive Vice President of Finance and Administration and Chief Financial Officer, will provide greater detail regarding our financial results and expectations.
 I will now turn it over to Ed Stack. 
Edward Stack: Thank you, Anne-Marie. I'd like to thank all of you for joining us today.
 In the third quarter, we again generated record results with earnings per diluted share increasing 25% to $0.40 and exceeding our original expectations of approximately $0.36. Sales increased 11.2% in the third quarter, driven by the growth of our store network, a 5.1% increase in consolidated same-store sales, which was on top of a 4.1% increase in the third quarter of last year. Same-store sales in the third quarter of 2012 for Dick's Sporting Goods were up 3.9%, Golf Galaxy up 2.3% and eCommerce sales were up 46.7%. We generated positive comps in all 3 of our major categories: Apparel, footwear and hardlines.
 Looking to our progress on the digital front, we've accomplished much in the third quarter. We continue to grow our eCommerce business while improving transaction profitability, increasing inventory productivity, providing customers more choices about where, when and how they shop and fortifying our competitive positioning.
 We also made significant progress in the third quarter with our ship-from-store testing. It continues to progress very well with 115 stores operating under this program at the end of the third quarter. Ship from store is an incredibly powerful tool as it reduces delivery time to the customer while improving productivity and transaction profitability. Because ship from store allows us to utilize inventory located in our stores, which was previously unavailable online to customers, we are seeing a meaningful increase in our online sales. We will continue to roll this program out and add more stores in 2013.
 Finally, in the third quarter, we also launched a comprehensive mobile application through which users have access to all the benefits of the ScoreCard Rewards Program, the ability to locate our stores or make purchases directly from the app as well as be rewarded for engaging with the Dick's Sporting Goods brand on social media. As I've said before, the digital space provides us a powerful growth opportunity. So while we have accomplished a lot on this front, we continue to aggressively invest in our people, infrastructure and partner relationships so that we are positioned to maximize this opportunity.
 Looking to the fourth quarter of 2012, we have raised the low end of our prior expectations and now anticipate consolidated earnings per diluted share of $1.03 to $1.05. We previously anticipated a range of $1.01 to $1.05. The fourth quarter this year includes a 14th week, which is expected to contribute approximately $0.03 in earnings per diluted share. On a 13-week basis, earnings per diluted share for the fourth quarter is expected to be $1 to $1.02 compared with non-GAAP consolidated earnings per diluted share of $0.88 for the same period last year. Consolidated same-store sales are expected to increase approximately 4% on top of a 0.1% increase in the fourth quarter last year.
 Our fourth quarter guidance contemplates a $0.01 earnings per diluted share impact from the start-up cost related to our new distribution center. Our guidance also takes into account the NHL lockout and Hurricane Sandy, which includes a donation of approximately $1 million in retail value of outdoor supplies, footwear and cold weather apparel that we made to the American Red Cross to assist with the relief efforts.
 We are raising our full year guidance and now expect non-GAAP consolidated earnings per diluted share to increase 25% to 26% to between $2.53 and $2.55 a share, which includes approximately $0.03 coming from the 53rd week this year. On a 52-week basis, non-GAAP earnings per diluted share are expected to be $2.50 to $2.52. This guidance compares to non-GAAP earnings per diluted share of $2.02 in 2011. On a 52-week to 52-week comparative basis, we anticipate consolidated same-store sales will increase approximately 5% on top of a 2% increase last year.
 In summary, we delivered record third quarter earnings anchored by steady increases in both sales and operating margins, as well as the expansion of our store network and our continued success in driving inventory productivity. We also made significant progress in growing our omni-channel presence by enhancing our eCommerce site, ramping up our digital marketing strategy and giving our customers more choices about how, when and where to shop at Dick's Sporting Goods. We are optimistic about our continued growth and have adjusted our full year earnings estimates to reflect this.
 I'd like to thank our team of associates. Our progress is a direct result of their hard work and unwavering commitment to our goals, and I'm deeply grateful for their support.
 I'd now like to turn the call over to Joe. 
Joseph Schmidt: Thanks, Ed. In the third quarter of 2012, we opened 21 new Dick's Sporting Goods stores, bringing our total store count at the end of the quarter to 511 Dick's Sporting Goods stores with 27.9 million square feet and 81 Golf Galaxy stores with 1.3 million square feet. Within our stores, we have 166 shared-service footwear decks, 159 Nike Fieldhouse concepts, 88 Under Armour All-American shops and 10 Under Armour Blue Chip shops at the end of the third [ph] quarter. By the end of the year, we expect to have approximately 174 shared-service footwear decks, 171 Nike Fieldhouse concepts, 97 Under Armour All-American shops and 10 Under Amour Blue Chip shops.
 Our new Dick's Sporting Goods stores continue to perform well, with new store productivity of 98.9% in the third quarter compared to 101.9% in the third quarter last year. The detailed calculation of new store productivity is found in the Tables section of the press release we issued this morning.
 We completed our 2012 new store plan in the first 2 weeks of the fourth quarter. In total, we opened 38 new Dick's Sporting Goods stores this year. We also relocated 5 Dick's Sporting Goods stores, which were at the end of their leases, to preferred locations. For Golf Galaxy, we repositioned one store in the fourth quarter. This store is larger than our current format and includes more services and more experiential shopping.
 We remain on plan to open our fourth distribution center in January of 2013. This 600,000 square foot facility will be located in Arizona, and combined with our existing DC network, we will be able to support a total of 750 stores.
 I will now turn the call over to Tim to review our financial performance in greater detail. 
Timothy Kullman: Thanks, Joe. Sales for the third quarter of 2012 increased by 11.2% to $1.3 billion compared with the same period a year ago. Consolidated same-store sales increased 5.1%. Dick's Sporting Goods same-store sales increased 3.9%, Golf Galaxy increased 2.3% and our eCommerce business increased 46.7%. The increase in same-store sales in the Dick's Sporting Goods stores was driven by a 2.9% increase in sales per transaction and by a 1% increase in traffic.
 Consolidated gross profit was $406.1 million or 30.95% of sales and was 123 basis points higher than the third quarter of 2011. This increase was driven by merchandise margin expansion of 91 basis points and occupancy leverage, while freight and distribution remained relatively flat.
 SG&A expense in the third quarter of 2012 were $314.6 million or 23.98% of sales compared to non-GAAP SG&A expenses of $274.4 million or 23.26% of sales in last year's third quarter. This deleverage of 72 basis points was due to previously announced shifts of expenses from Q2 to Q3 related to the Dick's Sporting Goods Open, our World Series marketing sponsorship this year and increased administrative expenses.
 On the balance sheet, we ended the third quarter of 2012 with $294 million in cash and cash equivalents and with no outstanding borrowing under our $50 million revolving credit facility. Last year, we ended the third quarter with $483 million in cash and cash equivalents and with no outstanding borrowing under the facility.
 Over the course of the past 12 months, we've utilized capital to fund a $200 million share repurchase program, pay quarterly dividends, purchase our Store Support Center and make investments to acquire intellectual property rights to the Top-Flite and Field & Stream brands and to build our new distribution center.
 Inventory per square foot increased by 4% at the end of the third quarter this year compared to the end of the third quarter of last year. Net capital expenditures were $53 million in the third quarter of 2012 or $62 million on a gross basis compared with net capital expenditures of $48 million or $62 million on a gross basis in the third quarter of last year.
 In the fourth quarter, we now anticipate earnings per diluted share of $1.03 to $1.05 compared to our previous expectations of $1.01 to $1.05. This guidance includes approximately $0.03 for the 14th week in the quarter. On a 13-week basis, earnings per diluted share are expected to be $1 to $1.02 compared to earnings per diluted share of $0.88 in the fourth quarter of last year.
 Fourth quarter same-store sales are anticipated to increase approximately 4%. Gross profit margin expansion is expected to be driven primarily by merchandise margin and occupancy leverage. SG&A, as a percentage of sales, is expected to increase in the fourth quarter due to increased administrative expenses, primarily payroll-related.
 Just as a reminder, when contemplating the fourth quarter, we anticipate the start-up costs of our new distribution center to have an EPS impact of approximately $0.01 per diluted share. Also in the fourth quarter, we expect to earn $0.03 per diluted share due to the extra week.
 For the full year 2012, we anticipate consolidated same-store sales to increase approximately 5% and non-GAAP consolidated earnings per diluted share to grow approximately 25% to 26% in the range of $2.53 to $2.55 as compared to non-GAAP consolidated earnings per diluted share of $2.02 in 2011. Fiscal 2012 includes a 53rd week, which we believe will add approximately $0.03 to the non-GAAP consolidated earnings per diluted share and is contemplated in our guidance of $2.53 to $2.55. On a 52-week basis, non-GAAP earnings per diluted share is anticipated to be $2.50 to $2.52.
 Operating margin expansion in 2012 is expected to be generated from an increase in gross margin rate, primarily driven by merchandise margin and occupancy leverage. SG&A, as a percent of sales, is expected to remain relatively flat compared to 2011. Advertising and store payroll expense leverage is expected to be offset by increased administrative expenses.
 With execution of our share repurchase program, diluted shares outstanding are expected to be approximately 126 million for our full year, similar to the outstanding shares in 2011.
 For the full year, net capital expenditures are expected to be approximately $190 million or $235 million on a gross basis. Net capital expenditures for 2011 were $154 million or $202 million on a gross basis. Anticipated increase in capital expenditures for 2011 to 2012 is primarily the result of the new distribution center and to a lesser extent, investments in new stores, vendor shops, system enhancements and eCommerce.
 Before concluding, I would like to discuss a change in our disclosure policy for same-store sales. Beginning in 2013, we will report same-store sales for our Dick's Sporting Goods eCommerce business together with our brick-and-mortar business. We will continue to provide the size of eCommerce business as a percentage of total sales.
 To provide an example, if we reported third quarter results with this new methodology, the comps would have been as follows: a 5.1% increase in consolidated same-store sales, with same-store sales for Dick's Sporting Goods up 5.3% and Golf Galaxy up 2.3%; eCommerce penetration would be reported as 4.4% of total sales. We are making this reporting change because as we build out our omni-channel platform, it is becoming apparent that the traditional sales channels are overlapping with the digital space and that providing comp sales on a combined basis will be more meaningful.
 We had an excellent third quarter with notable increases in sales and margins. As a result, we delivered strong third quarter earnings that exceeded our original expectations. We are solidly positioned to continue to profitably grow the business, and we have raised our earnings estimates for the full year of 2012 to reflect our expectation.
 This concludes our prepared remarks. We would be happy to answer any questions you may have at this time. 
Operator: [Operator Instructions] Our first question comes from Matthew Fassler of Goldman Sachs. 
Matthew Fassler: One strategic question, then one on the numbers. So you just spoke, Tim, a second ago about multichannel convergence. Can you talk about, to the extent that this is transpiring, what you're learning about your customers? What the access to more data, as more of your business comes in online, contributes. And how you think about the overlap between in-store and online customers as they patronize different channels within your business. 
Edward Stack: Matt, we're finding out what -- I don't think there are going to be surprises here. People are shopping at Dick's Sporting Goods from a number of different directions, whether it be in the store, whether it be online, people that are researching product and coming into the store to buy. The ship-from-store program has been more successful than we had anticipated. That's been a big adder to our online sales, and we're making sure that we've got all of these tools available to our customer to make sure that he or she can shop whenever they want, whatever device they want. 
Matthew Fassler: And I guess related to that, this is not my original follow-up, but I will ask it. To the extent that your profitability is improving nicely, particularly this quarter on the gross margin line, is that -- is any of that coming from the shift in online business away from your traditional fulfillment partner, which we know has terms that are somewhat onerous for your company? Or is the mix shift to online with that margin pressure still outweighing, I guess, the mix with any online piece? 
Edward Stack: Well, I -- the overall business, it didn't have a huge impact. But as we move this fulfillment channel to be in the stores, that's meaningfully more profitable than if we go through GSI's warehouse. 
Matthew Fassler: Got it. And then my original follow-up question, which I will still ask, so you talked about merchandise margin being the primary driver of gross margin expansion here in the third quarter. There were still about 30 bps of additional leverage. If you could just indicate whether that came primarily from occupancy from freight and distribution or from somewhere else. And then related to that, the fourth quarter last year, you leveraged occupancy despite a flat comp, looked like you have some things really go your way in Q4 last year. So any color you could give us on the comparison and whether that would stand in the way of more leverage here in Q4? 
Timothy Kullman: Sure, Matt. This is Tim. The extra 33 basis points you're talking about came from occupancy leverage in Q3. And in Q4, we expect to leverage occupancy once again. 
Operator: The next question comes from Christopher Horvers of JPMorgan. 
Christopher Horvers: Also wanted to follow up on the gross margin a little bit. The merchandise margin expansion was very impressive, and continued really a long string of merchandise margin comparison through ups and downs in the comp. Can you talk about what's driving that? How much of that is the new merchandising planning system, how much of that is just clearance inventory and so forth? 
Edward Stack: There's not a silver bullet. There's a whole -- there's a number of things, so it's the merchandise planning system, it's inventory control. It's also the mix of more -- of apparel and footwear as we've moved to the shared-service footwear concept and to the brand concepts with the Nike Fieldhouse, the Under Armour shops and what we're doing with the North Face. We've also taken a look at some of what we've learned from this and how we've applied this to other areas of our business, whether it be the outerwear business, the golf apparel business. So we've moved that mix has been helpful also. We expect, now that the election has concluded, we expect that the gun and ammunition business will move to be a slightly bigger part of our business going forward, and that will help the earnings. But that could have a little bit of impact on gross margins going forward, although we don't think really significantly as we've got so much momentum on the apparel side. But the election will have -- has had an impact on the amount of guns and ammunition that we're selling. 
Christopher Horvers: And then as you think about how that merchandise -- I know you're thinking about -- haven't laid out 2013 quite yet. But how do you think about merchandise margin expansion progression over the year next year given that the price and space and so forth will really start contributing towards the midpoint of the year? 
Timothy Kullman: Well, we still think that we've got margin rate expansion going into next year. We're not going to provide a glimpse into guidance for next year, but we still think that we've got margin rate expansion available to us. 
Christopher Horvers: And then I have one follow-up on Sandy. You have a lot of stores in New York and New Jersey, and it's the hot topic out there with investors. Can you talk about if you saw a negative impact into the end of the quarter given Sandy? And is there anything that you're seeing in November that you can talk about in the region? 
Edward Stack: Well, as we said, we've, to the best of our ability, included the impacts of Sandy in our guidance in the fourth quarter. But yes, as you could imagine that there was some impact to our business at the end of the third quarter as we had -- I mean at one point, we had 114 stores closed because of Sandy. They weren't closed for a long period of time, but we did have 114 stores closed. And our heart goes out to the people affected by this storm, as they started to redevelop their lives and kind of try to get things back to normal, coming to shop at a sporting goods store was probably not on the top of their list. They had other more essentials that they needed to take care of. So yes, it had an impact, and we've kind of put that impact into our guidance into the fourth quarter. 
Christopher Horvers: Could that have been 0.5 point in comp perhaps for you in 3Q that was lost? 
Edward Stack: We're not going to get to that level of granularity. I'm not sure what it is. But you have 114 stores closed and you have a lot of people who can't get to your store, that has an impact. 
Operator: The next question comes from Gary Balter of Crédit Suisse. 
Gary Balter: On the comps, you guided to 4% in Q4, which implies a significant deceleration on a 2-year basis. What's the thinking behind the comp guidance? 
Edward Stack: There's a couple of things, Gary. There's Sandy, there's the NHL lockout, there is the fiscal cliff. There's a number of things that are going on out there that we're aware of, but we need to be careful. 
Gary Balter: So once the lockout gets settled any day now, as I keep on hoping, we should raise our comp guidance? 
Edward Stack: We're hoping, Gary. We'd like to see some hockey played here in Pittsburgh, let me tell you, and everywhere else. 
Gary Balter: Could you talk also about your private label, like obviously, that's been one that continues to strengthen? I don't think you gave us a percent of what it was in this quarter. 
Edward Stack: Yes, we didn't. We haven't laid that out there, but... 
Gary Balter: Not [indiscernible] that anymore? Are there any -- sorry, go ahead. 
Edward Stack: But we continue to invest from a private brand and a private label standpoint. We invested in the Field & Stream name, which will be accretive to the business because we won't have a licensing fee going forward. We bought the Top-Flite brand. This is an area that we continue to be very aggressive with and feel that it's an important part of our future going forward. 
Gary Balter: Just a follow-up and then I'll get off. The -- you've talked about how strong the online business is. How is the mix different online versus the stores? And how is it changing with the sales in the stores and how are you reacting to that in terms of the way you're presenting merchandise? 
Joseph Schmidt: Sure. Well, we are -- the mix is changing. We're doing more apparel and footwear business than we've had in the past. The mix is always going to be a little bit different online than it is going to be in the store. And therefore, on a gross margin merchandise rate standpoint, we think that it will eventually be higher than what the stores are because we don't sell guns and ammunition online. So there's a mix benefit there from an online standpoint, which we expect will continue to improve as we go forward. But we're really enthusiastic about the response we're getting from apparel and footwear online. 
Operator: Our next question comes from Robbie Ohmes of Bank of America Merrill Lynch. 
Robert Ohmes: A couple of quick questions. Ed, can you talk about just how you may be positioned the same or differently for holiday this year? What is going to be different and maybe, specifically, on the outerwear category? And maybe remind us what kind of carryover position you're in, in outerwear for the fourth quarter and what could go really right or really wrong year-over-year? And then the other question also on the fourth quarter and maybe into the first quarter is you're coming up against very tough comparisons in the golf category. Are there things that can help you anniversary that or maybe speak to how you're thinking about the tough golf comparisons that begin this quarter? 
Edward Stack: So what could go right or wrong in the fourth quarter? If we could -- if we get some snow and some cold weather this year, that would go right. We need it at the right time. We don't need it, like a couple of years ago, that last weekend before -- the last weekend or 2 weekends before Christmas, we had that big snowstorm. But we feel we're very well positioned. Our merchants have done a terrific job working with planning our inventory. Our carryover, we kind of laid out what that carryover as we expect it to be no more this year than it was last year, notwithstanding what the weather is; meaning, if we have a winter like we had last year, we would expect the carryover to be no worse than it was last year. So we're -- we feel pretty comfortable about where we're at. As far as the golf comparisons go, we are against difficult golf comparisons in the first quarter of next year. There were 2 things that drove that. There was the product cycle and there are some new products coming out that we think the product cycle for next year is probably as strong as it has been this past year. The biggest driver in the first quarter comps around the golf business was really the weather, and we've got no control over that. We would suspect that if it's reasonable weather, comps may shift from the first quarter to the second quarter. Like this year, they went from the second quarter to the first quarter. But as you get done with the first 2 quarters, we think weather will have little impact overall. So we're pretty optimistic about the golf business going forward. 
Operator: The next question comes from Sean Naughton of Piper Jaffray. 
Sean Naughton: All right, given the change you're describing on the comp reporting for next year and some of the success you guys are seeing in the multichannel efforts, how does it change your overall thoughts on store prototype size moving forward and then potentially the overall store base in the U.S. at this point? 
Joseph Schmidt: So this is just from a reporting standpoint. We think it doesn't change the strategy at all. But we still feel that we can have at least 900 stores in the United States. Our store footprint categories that we're looking to expand, we don't -- we may modify some allocation of space. But we don't think that we have the wrong store size as we take a look at categories of business that are doing extremely well. We'd like to increase our space allocated to apparel. We'd like to increase space allocated to our team sports category. We'd like to increase space allocated to our footwear area. And what we're doing online doesn't really impact that. We really think that customers are going to shop online for mobile apps, going to shop at the stores, and we haven't seen any reason to change our strategy. We really like the way we're positioned. I think based on what you saw from our comps, not only this quarter but this year, we feel like we're in a really very good spot. 
Sean Naughton: All right. And then just secondly on the -- on all 3 categories, sounds like they performed well in the quarter. But just thinking specifically about some of the easier comparisons you might have had in the outdoors segment, if you can talk about how the lodge business performed in the quarter. You mentioned firearms a couple of times on the call as being strong. Maybe just any changes you're seeing in the competitive environment with that particular segment. 
Joseph Schmidt: All the -- as I said, the 3 categories were all very strong. We're not going to call out specifically on -- and rank them. I indicated that the firearms sales have spiked since the election, which is really in the fourth quarter, not in the third quarter, but based on the results of the election, which we anticipated if the election went this way, that this business would react in this fashion. 
Operator: The next question comes from Dan Wewer of Raymond James. 
Daniel Wewer: Ed, just wanted to follow up with your comments about the product cycle for the golf industry. Are you alluding to the RocketBladez from TaylorMade and supposedly a new product lineup from Callaway Golf? Is that what you're alluding to for next year? 
Edward Stack: Yes, well we've looked -- it's not just them, but we've looked at -- we've seen all the product that's coming out. So whether it be the RocketBladez, the -- what TaylorMade's doing to follow up on the RocketBallz, Fairway Woods. Nike's got their new driver coming out, we think is terrific. Callaway is great. And we think that there's a big move in footwear as we continue to -- the spikeless -- the shift to spikeless shoes is extremely important. And we've had great luck in the apparel business. And we will continue to expand our apparel business in our golf business, both at Dick's and Golf Galaxy, taking what we've learned from the Nike Fieldhouse concept and the Under Armour shops and applying those into our golf business. And where we've done that in a couple of test areas, the results have been very encouraging. 
Daniel Wewer: The price points on some of the brands that you're alluding to are moving higher. Do you think it's primarily benefiting Golf Galaxy in 2013, maybe more so than for the Dick's golf departments? 
Edward Stack: No, not really. And we don't really see -- I mean the basic high-end driver from Callaway and from TaylorMade and Nike, they're all going to be relatively the same price as they were last year. So the top-end TaylorMade driver will be $399 and there'll still be product in that $399, $299 standpoint. The average unit retail isn't going up significantly. Where we do think we've got some AUR opportunity is on the footwear side. Because as odd as it sounds, the spikeless shoes are actually more expensive than the traditional golf shoe, and we've had some really good luck in that category. 
Daniel Wewer: And just a real quick follow-up, have you had a chance to pencil through the Affordable Health Care Act (sic) [Affordable Care Act]? Looks like that's going to be the law for a long time now, how that might impact your operating expenses over the next couple of years. 
Edward Stack: We've looked at it. We're not ready to comment about what that will be, but it will certainly be more effective. And it really doesn't kick in, in any meaningful way until 2014. So we've got some time to kind of work through that. 
Operator: The next question comes from Michael Lasser of UBS. 
Michael Lasser: Can you size the EPS impact in the fourth quarter from all of those onetime-ish-type items that you talked about between the NHL lockout, the donation, et cetera? 
Edward Stack: No. No, I mean we're not going to -- for competitive reasons, we're not going to lay out what we think we're earning from NHL product. Sandy is -- we indicated that we did make a $1 million donation to the Red Cross to help the relief efforts there. And if you take a look at $1 million, that's $0.005. 
Michael Lasser: But so, altogether, you think there'll be a material impact from all these onetime events? 
Edward Stack: I didn't say that. We said we've kind of laid those into our guidance. The $1 million donation that we thought was absolutely the right thing to do to help the relief efforts of these -- of those that were in the wake of Hurricane Sandy, we think was the right thing to do. That's $0.005. And we've taken into account what we think could happen to the NHL, what we can -- or what is happening to the NHL right now and kind of the effects of Hurricane Sandy of when people are going to get back to shopping for this product once they kind of get their lives and their homes back in order. 
Michael Lasser: And switching gears on the eCommerce front. How is your eCommerce doing in markets where you have a pretty good store presence versus other areas where you're less penetrated on the retail side? 
Edward Stack: As you would expect, we do more business in markets where we have stores than in markets where we don't have stores. 
Michael Lasser: Is that because of the ship-from-store associates walking consumers over and ordering from stores? Or is it just because of the brand awareness, and so there should be a halo benefit as you get more penetrated across the country? 
Edward Stack: We think it's all 3 of those things that you laid out. And we've found that once we open a store in a trade area, then our sales primarily go up. 
Operator: The next question is from Rick Nelson of Stephens. 
Rick Nelson: I'd like to ask about the SG&A about the leverage that you're guiding to for the fourth quarter with the 4% comp. I'm curious what the driver is, the Red Cross payment obviously one of those. 
Timothy Kullman: Well, one of the -- this is Tim. One of the things that we talked about continuously last year and this year was the investments that we were going to be making in systems and in our eCommerce business. You can see the fruits of those labors already coming through our numbers. So along with those investments are headcount investments. So on the administrative expense side, that is a primarily payroll and related benefits cost that we're seeing coming through the numbers. 
Rick Nelson: Got you. And the $0.03 in EPS that you're calling out for the extra 53rd week, can you tell us what that represents in terms of the top line sales? 
Timothy Kullman: We haven't broken out the top line sales, but we've been very open about the $0.03 impact on the EPS. 
Rick Nelson: And as we model the quarters for next year, a 52-week compared to a 53-week, are there meaningful shifts in high volume weeks between the quarters that would impact the quarterly comp? 
Timothy Kullman: There are not. 
Operator: The next question comes from Michael Baker of Deutsche Bank. 
Michael Baker: A couple of questions I'd want to ask. First of all, can you sort of parse out what the quarter looks like maybe early in the quarter versus late in the quarter? Was back-to-school particularly strong? Or -- and any hint there on how the pace of business may have been? 
Timothy Kullman: Michael, this is Tim. We just don't talk about sequential or individual month performance within a quarter, so we aren't going to make you very happy with that answer. 
Michael Baker: Well, at very least, can you tell us that there are wide variations that would be something that would be interesting or relatively consistent? Or can you even go that far? 
Timothy Kullman: No, we won't go that far. 
Michael Baker: Okay. Then I will ask you something else. Let me ask about the merchandise margins, and is the biggest driver to the improvement in the merchandise margins, is it price within the category? Are you seeing -- is the mix from hard goods to apparel and footwear? And then maybe even more, is it within each of those categories moves to a more higher-end-type product? Just trying to parse out what's driving that merchandise margin gain. 
Edward Stack: It's a combination of a number of things. So it's the mix of products. And it's not just the mix to -- from hardlines to softlines because we've got a number of hardlines areas that are extremely profitable. But it is that mix to those higher-margin categories. It's also better inventory control from a planning standpoint, so we've mitigated markdowns on the back end. And those are the key drivers of that. 
Operator: The next question is from Sam Poser of Sterne Agee. 
Sam Poser: A couple of questions, just a clarification. Sandy didn't affect third quarter. It's really a fourth quarter story just based on when it happened. Am I thinking about that correctly? 
Timothy Kullman: Yes, Sam. This is Tim. That's correct. 
Sam Poser: Okay. You talked about adding headcount. Was that entirely on -- in your digital platform? Or did you -- have you added some headcount in the stores as well? 
Timothy Kullman: This is -- my discussion point was on administrative expense and payroll. So that is the home office support center payroll, primarily IT, eCommerce and marketing and then a little bit spread on the other functional areas. 
Sam Poser: Will we find any -- is there any variation of headcount in the stores this year over last year? 
Timothy Kullman: Not significantly. The research that we've gotten back has been great from a service standpoint. As we compare it this year to last year in the metrics that we use, it's been very positive. 
Sam Poser: And then lastly, there's been some conversation about trucks moving more slowly given Sandy, deliveries. Are you -- 2 ways, is your flow of goods better than it was? And are you finding yourself with your non-private brand, private label business ordering or being able to order closer to need than you have in the past? 
Timothy Kullman: There hasn't been any meaningful change. 
Sam Poser: And as far as the flow of merchandise given Sandy, trucks and rail and so on? 
Timothy Kullman: No. Nothing meaningful, no. 
Operator: The next question comes from David Gober of Morgan Stanley. 
David Gober: Just wanted to follow up on SG&A. Obviously, you've had a decent amount of lumpiness this year and a couple of moving pieces. Is there anything you need to say about what you think in a normalized SG&A per store looks like? Maybe not specifically in 2013, but more on an ongoing basis, obviously, given some of the puts and takes in 2Q, 3Q and 4Q this year. 
Edward Stack: Well, I'd actually answer it this way. When we're in a situation where we're delivering very large profits for the store and we're investing in the business, which we said we were going to do, there is going to be some lumpiness in SG&A. So as we continue the investment mode into 2014 and 2013, you're going to continue to see some lumpiness there. So rather than trying to give you a normalized number, as we go forward in the next 2 years in particular, I won't be able to do that for you. 
David Gober: Fair enough. And I guess more of a kind of a quick detail question. We've heard that the new NFL jerseys have been selling particularly well. Any sense of how that helped the comp? Or more generically speaking, how those types of changes tend to impact the business over time? 
Edward Stack: I'm not sure I really understood. Could you -- I'm not sure I understand the question. 
David Gober: Sorry, just the switchover in manufacturers for the NFL jerseys, we've heard that, that has been a benefit this quarter and that those jerseys are selling particularly well. I'm just curious if you found that to be the case historically or specifically, do you count on any impact this quarter? 
Edward Stack: Well, yes, I mean it's definitely a positive impact. You change the jerseys, a lot of fans want to have the jersey the players are wearing. And it's been very positive. We would expect that to be a positive impact in the fourth quarter also. Especially since last year, people knew the jersey was going to change, so it negatively impacted the fourth quarter last year, people not wanting to buy a jersey that they know were going to be obsolete at the end of the year. 
Operator: The next question comes from John Zolidis of The Buckingham Research Group. 
John Zolidis: Question on your longer-term operating margin target of 10%. You look like you're going to get almost 100 or around 100 basis points of operating margin expansion in the current year based on the updated guidance. Would you say that you're running ahead of plan relative to that 10% target that you originally laid out? 
Edward Stack: I would say, John, based on the way we've outlined our future plans that we are on plan. 
John Zolidis: Okay. So then, over the next 2 years, more modest operating margin expansion should be expected? 
Edward Stack: Yes. 
John Zolidis: Okay, great. And then just one other question. For the fourth quarter, you gave us some big picture things that you expect to potentially be disruptive to sales. Can you talk about specific product categories that are either going to be a drag or that you think can outperform the chain? 
Joseph Schmidt: We don't want to get in to specifics on merchandise categories as we've not done that before. But some of the aspects that will drive the -- will drive it will be the gun and ammunition business based on the results of the election. We anticipate that the results that we're getting out of some of the vendor shops that we've done will continue to be additive. One of the drags on this will be that we don't have a World Series team of any meaningful impact on our business this year, with the Giants winning the World Series versus what happened last year. It -- so that's going to be a bit of a drag on sales this year. But for the most part, we're relatively positive. I think the fitness business will continue to be a bit challenged. But most other areas of the business, we're pretty enthusiastic about. 
Operator: The next question comes from Kate Wendt of Wells Fargo Securities. 
Kate Wendt: So I'm wondering if you could talk a little bit to your strategy with respect to prices and promotion for the holiday season this year compared to last year, and given that some of your competitors have discussed plans to adopt a more aggressive stance. 
Edward Stack: Yes, we don't have anything planned right now. We've done -- our merchants have really done a terrific job differentiating us in the marketplace with product, the majority of the brands that we were selling. We don't feel that they need to be -- there needs to be a significant promotional strategy around what we're doing in the Nike Fieldhouse concept, what we're doing with the North Face, what we're doing with Under Armour, what we're doing with some of the golf brands that are out there right now. So we've got the flexibility to move promotionally if we need to, but right now, we don't feel that we have to. So we don't -- we're not looking -- we're not anticipating a negative impact on margin rates. 
Kate Wendt: Okay, got it. And then on SG&A, can you remind us when you really started to ramp up investments consistent in eCommerce and even though we'll continue to see some lumpiness, whether the rate of increase in spend will be as meaningful going forward, given that you've already increased investments this year? 
Edward Stack: I think you can consider the fact that, that rate of spend started pretty much in the second quarter and will also impact Q3 and 4 and a little bit of Q1 next year. 
Kate Wendt: Okay, that's helpful. And then just finally, if you have an update on your plans for rolling out pickup in store and what the title of that might look like next year. 
Joseph Schmidt: Kate, right now, it looks like we'll be testing that in 2014. We haven't announced specifically, but probably look midyear in 2014 for us to -- or excuse me, 2013, to be testing that. I'm sorry, Kate. 2013, we'll be testing that. 
Operator: The next question comes from Paul Swinand of Morningstar Investment Research. 
Paul Swinand: I wanted to -- I think you've got the longest list in the book here. But wanted to ask, I've seen a lot of merchandise that is saying only at Dick's or special for Dick's. And I knew you guys have always worked on this type of thing, but I'm seeing it even for Under Armour or some of the national brands. Is that really that new, and is it starting to move the needle for you? And then have you planned down that the merchandise that would have been at every other competitors' stores, so it's a net neutral or is it actually additive? 
Joseph Schmidt: Well, some of it's additive and some of it's neutral. And we've worked very closely with our brand partners, whether it be Nike, the North Face, Under Armour, some of the other groups on the hardlines side and have developed franchises, if you will, that are either exclusive or primarily exclusive to Dick's Sporting Goods. It's really kind of gained traction over the last 12 to 18 months, and we will continue to be very aggressive in this. And our partners have been very helpful in working through this with us. We feel that it's important to differentiate ourselves not only with as it relates to our other brick-and-mortar competitors, but also to differentiate ourselves with online competitors that we have out there. So this will -- it's gotten more important, and we expect it to continue to be more important as we go forward. 
Paul Swinand: Interesting. And can you give us any metrics, like a better margin, better sell-through or I know you don't want to share everything, but anything color there? 
Edward Stack: Well, directionally, it would be better margins because we don't -- we're not competing with anybody else from a price standpoint on this. The sell-throughs I wouldn't say are significantly better. Some were better, some were not as good. But that's just because if you run a business like we do, you buy some winners and you make some mistakes. And what we've always done is when we've made a mistake, we go -- as in any merchandising category, if we make a mistake, we fix it pretty quickly, mark it down and get out of it. So -- but overall, I would say the margin rates will be better. 
Operator: The next question is from David Magee of SunTrust. 
David Magee: Just 2 questions. One is, what are you seeing right now with regard to competitive openings? Is that something that's sort of unchanged? Or is that getting better or worse as we go into next year? 
Edward Stack: As a percent of total, I would say it's relatively the same. 
David Magee: Okay. And then secondly, can you talk a little bit about advertising in terms of the different approaches that you've taken this year, and whether you're leveraging that cost out of them at this point? 
Edward Stack: We're taking a look at from a marketing standpoint and are really -- have made some big changes to our marketing. We've reduced -- as we indicated that we plan to do, we've reduced our spend in newspaper inserts and have moved more dollars into talking directly with the consumer through our direct marketing program, whether it be through the digital online marketing and also through the TV campaigns that we've done. The TV campaigns, the digital marketing, some of these things are much easier to leverage as we go forward than the newspaper insert program. So as we go forward, we're not planning to leverage our marketing dollars over the next 12 to 24 months in any meaningful way. But we're going to continue to look to reallocate the spend, and we're getting -- we anticipate a great ROI on this change. And you'll see us moving more out of the inserts and more into digital direct to consumer and the TV campaigns that we've put together. 
Operator: The next question is from Camilo Lyon of Canaccord Genuity. 
Camilo Lyon: Ed, you mentioned that you've seen an acceleration in apparel and that's offsetting the guns and ammo margin drag. I was wondering if you could specifically call out if it's coming from the outerwear category or is it the athletic performance gear or is it the Nike NFL jerseys? Any color there would be helpful. 
Edward Stack: Well, I won't get too specific, but I will tell you based on -- it's not coming from the outerwear category right now. It's coming from other apparel and footwear categories. The license piece has been -- on the NFL side has been good, but that's been offset by the lack of a World Series champion and what's going on in the NHL. But overall, we were very pleased with what's going on from an athletic standpoint. As we get further into the quarter, the outerwear business gets to be a much more important part of our business. And we expect that, that will also be helpful in leveraging against the gun and ammunition business. We don't look at the gun and ammunition business as being bad for our business. It's going to be additive. It's going to drive more foot traffic into the store. It may impact the growth of our rate, but it's going to certainly positively be accretive to our earnings. 
Camilo Lyon: Great. And then switching gears, if you could update us on price optimization and where you are with that initiative. 
Joseph Schmidt: We're still very early in the process. As we've indicated in some of the calls and some of our meetings that this -- the benefit of these programs is really going to be felt more in 2013, '14 and '15. As I said, we're in the very early innings. 
Camilo Lyon: Okay. And then my final question is, Ed, on shop-in-shops. It looks like the annual run rate for, say, the Under Armour shop-in-shops is about 50 or so per year. Is that the right pace of opens that we should think about? Or could you considerably accelerate the pace of those openings? 
Edward Stack: Well, right now, I would look at it to be relatively what it has been. And as we kind of look and work with Under Armour, if we find that we can move quicker on this, we will. But right now, I would kind of look at it as it's been in the past. 
Camilo Lyon: And that's related to more new store openings and remodels? 
Edward Stack: For the most part, yes. We continue to remodel our stores. One of the things that we always talk about internally is we don't want to wake up someday and have a tired old chain. So we're constantly remodeling stores, relocating stores. So that's an important part of our overall strategy. 
Operator: Our next question comes from Chris Svezia of Susquehanna Financial Group. 
Christopher Svezia: Just -- not to beat this to death, but just on the SG&A piece. Tim, just so I got you here, you said some of the increase in SG&A spend began in Q2, obviously Q3, Q4 and some of Q1 next year? 
Timothy Kullman: Yes. 
Christopher Svezia: Okay. Let me ask it this way. Would you -- fair to say that SG&A is a leverageable line item on an annualized basis, assuming you do a call it 2% to 3% same-store sales increase, is that a fair... 
Timothy Kullman: That is correct. That is correct. 
Christopher Svezia: Okay. All right. Last question, real simple here. Store openings for next year, any thoughts at this point roughly the number relative to this year, to 38? Any color you can add about what that essentially could be? 
Edward Stack: It should be at least the amount that we did last year. 
Operator: The next question is from Joe Feldman of Telsey Advisory Group. 
Joseph Feldman: I wanted to ask about also on the stores, any update on real estate? Any changes in terms of availability of the real estate? And also within real estate and the stores as far as productivity goes, are there any differences you see by region or the format, some of the smaller format stores or any of those kind of things you could address? 
Joseph Schmidt: Yes, Joe. Ed indicated that we'd open at least as many stores for next year. And we've been pretty consistent over the last couple of years with around an 8% growth rate, and I think you can look for something pretty similar to that in 2013. As far as the market is concerned, there isn't a big change in the marketplace as far as availability of real estate. We are seeing some opportunities with some of the REITs are buying some properties from department stores. We are seeing some more re-purposing of mall shop space, and we have had some discussions with Sears about re-purposing some of its space. We have nothing to talk about today specifically, but we are having those discussions. New store growth has been pretty consistent through in the last couple of years. Around 50% of our boxes are ground-up construction versus re-purpose, and I think you can look for something pretty similar in 2013 as well. As far as productivity by region, you know what, we're not seeing a meaningful difference across the country as to how these stores are performing as we open up. 
Operator: The next question is from Wayne Hood of BMO Capital. 
Wayne Hood: Yes, I just had 2 questions. One was the percentage of sales that are tied to free shipping now, is that growing at a faster rate than you would expect and as you get into the fourth quarter, maybe even greater? And to what extent, if it does, place a risk in the gross margin targets you have? Or does the pickup in store help mitigate some of that? 
Timothy Kullman: We aren't seeing a meaningful increase in free shipments. It will be more competitive as we get into the fourth quarter as you would expect. But we don't see anything meaningfully different this year versus last year, and we haven't seen anything over the last quarter with a significant change there. 
Wayne Hood: Okay. And my other last question was on eCommerce again, the conversion rate, how close are you to bridging the gap between where you are and industry average of about 2.4 in conversion on the eCommerce business? Did you narrow that gap in the quarter? And do you think you can get there over the next year? 
Timothy Kullman: We've narrowed the gap. In the next year, I would think that we will not get there. But we are working at that, and we expect it to continue to increase. But I don't expect this to be at 2.4 by the -- in a year. 
Operator: The next question is from Matthew Fassler of Goldman Sachs. 
Matthew Fassler: I want to think now about fourth quarter and sort of an interplay between the fact that you have some layaway inventories, it's actually inventory that you held over the course of the year, the fact that your vendors and your competitors for that matter, seem to be planning outerwear reasonably conservatively. What's your sense on the availability of product, on how vendor plans, given last year's tough experience, will impact their flexibility and also the margin in that category here in Q4? 
Edward Stack: Matt, we've got -- we've worked with our partners as we have in the past with what we characterize as partnership orders. So we've got a flow of product that we have scheduled to come in, so we're not over inventoried right now. If winter doesn't come, we've got the ability to cancel this product. We have it on the books. If it does come, we have the ability to bring that product in. We've got a couple of different trigger dates, one of them coming up right now after -- the Monday after Thanksgiving -- Monday, Tuesday after Thanksgiving and then we'll have another one later in the month of December. So we've got some trigger points here. We feel that we've got inventory available to us if business -- if it gets cold and this business takes off, we've got the ability to grab that product. And if it stays similar to last year, we've got the ability to move that product off or cancel that product. And we'll end up with no more inventory -- no meaningful difference in inventory this year versus last year. 
Matthew Fassler: And how should we think about last year's gross margin compare? The margin was up 27 bps, it was the second smallest increase you've had in a while. Would you consider that 27 basis point improvement a difficult compare given that it could have been worse? Or is that something that should be very much surmountable given the momentum that you have right now? 
Edward Stack: Well, the group did a very good job last year of managing the inventory and managing through a very difficult year. I won't say that, that 27 -- I won't say that it's a slam dunk. But if it gets cold, it will be better. And if it doesn't, it will be about the same. 
Matthew Fassler: And one other quick one. Your West Coast competitors, kind of smaller, not necessarily perfect comps to you, came up with some better numbers recently. I know your exposure to that part of the country is still modest and growing. Have you seen any regional recovery on the West Coast relative to product trend? 
Edward Stack: Yes, we're actually pretty happy with what's going on in the West Coast right now, so we're very pleased with what's going on out there. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ed Stack for any closing remarks. 
Edward Stack: I'd like to thank everyone for joining us for the -- our third quarter call. We wish everybody happy holidays, and we look forward to seeing everybody for our fourth quarter call. Thank you. 
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.